Operator: Welcome to the American Woodmark first quarter conference call. (Operator Instructions) The company has asked us to read the following Safe Harbor Statement under the Private Securities Litigation Reform Act of 1995. All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors that may be beyond the company’s control. Accordingly to the company’s future performance and financial results may differ materially from those expressed or implied in any forward-looking statements. Such factors include but are not limited to those described in the company’s filings with the Securities and Exchange Commission and the annual report to shareholders. The company does not undertake to publicly update or revise forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied there in will not be realized. At this time I would like to turn the conference over to Glen Eanes, Vice President and Treasurer.
Glen Eanes: Thank you for taking time out to participate in this American Woodmark conference call to review our first quarter results for fiscal 2009. Participating on the call this morning will be Kent Guichard our President and Chief Executive Officer and Jonathan Wolk our Chief Financial Officer. Jon will begin with a review of the quarter and then Kent and Jon will be happy to answer any questions you might have.
Jonathan Wolk: This morning we released the results of our first quarter of fiscal year 2009 that ended July 31, 2008. In case you have not had the chance to read our earnings release, here are a few highlights. Net sales for the quarter were $139.2 million, down 16% below the prior years first quarter and income for the quarter was $0.2 million as compared with net income of $5.1 million in the prior years first quarter. Diluted earnings per share were $0.01 for the quarter as compared with income of $0.34 per diluted share in the prior years first quarter. The company generated $7.4 million of free cash flow during the first quarter, an increase of 28% over the $5.8 million generated in the prior years first quarter. Regarding our first quarter sales performance, net sales for the first quarter were 16% lower than the comparable period of the prior year. In new construction total residential housing starts have remained close to the 1.0 million annualized level for the first seven months of the calendar year, 31% below their prior year levels which at this point last year were still averaging close to 1.5 million starts. Starts of single-family homes for the first seven months of the calendar year fell by an even greater 41% during the same period, to their most recent annualized level of only 640,000 homes, down from $1.1 million at this time last year. Our new construction sales were down approximately 16% below those of the prior years first quarter, in line with what we had planned and evidenced in the share gains we have made in this difficult market. The short-term outlook for the new construction market continues to be negative, as most of our builder customers continue to focus more on reducing their costs and their inventories of unsold homes than on their construction activities. Reinforcing the short-term outlook, large builders continue to report limited to no visibility as to when an improvement in their sales order rates will occur and builder confidence according to the NAHB Wells Fargo Housing Market index reached a new low last month. Despite the weak new construction market, we continue to aggressively bid and win new business, focusing on companies that we believe have the staying power to outlast this downturn. These share gains have not been a result of buying business through reduced prices, but rather by increasing penetration with existing customers and securing new customers based on our total package of service, products, and pricing. These share gains have come at satisfactory margins that we believe will be sustainable over time. In the remodeling market several factors have combined to continue the negative sales momentum. Existing home sales, a leading indicator for home improvement spending, have continued to hover at or below the $5 million annualized levels since September of last year and calendar year-to-date existing home sales are down 20% below prior year levels. Inventories of existing homes for resale, which range from six to nine months in the first six months of calendar 2007 have consistently ranged from 10 to 11 months in the first six months of 2008 and some forecasts have them extending beyond 12 months. The consumer confidence index, as reported by the conference board, has remained near its lowest levels experienced in 16 years. The median sales price of existing homes continues to trend lower as the number of foreclosures continues to rise and finally our two primary remodeling customers continue to report declines in their comparable store sales. During the first quarter our remodeling sales declined nearly 16% as compared with the prior year’s first quarter results, driven entirely by reduced market performance in our product category. We continue to expect that the remodeling market will be flat to down until credit availability, housing prices, and the associated media coverage settle down. We remain bullish on the housing markets long-term viability and so we continue to invest company resources to pursue additional share gain initiatives. We believe that our market share gains and our market position as the value provider of goods and services, positions us well during this down phase of the housing cycle. Moving on to gross profit: Gross profit for the first quarter was 15.9% of sales, below the 20.7% we generated in the first quarter of last year and slightly less than the 16.3% we generated in the fourth quarter of the recently completed fiscal year. The primary drivers to our decline from the prior year were increases in overhead and freight costs in relation to sales caused by the impact of lower sales volumes, as well as rising fuel prices that have increased our freight and materials costs. The small decline in gross margin percentage from the fourth quarter was driven primarily by the aforementioned increase in fuel costs coupled with continuing pressures on overhead costs driven by reduced sales levels. Regarding our operating expenses, total SG&A expense was 15.9% of sales in the first quarter of fiscal 2009 as compared with 16.2% of sales in the first quarter of fiscal 2008. Total SG&A expenses for the first quarter were $4.8 million or 18% lower than in the prior year on a sales decline of 16%. Selling and marketing expenses were 11.2% of sales in the first quarter of fiscal 2009, down from 12.2% in the first quarter of the prior year, as a 23% reduction in costs more than offset the 16% sales decline. The savings in sales an marketing costs resulted from careful management of the company’s spending, focusing on reducing costs that are not essential to servicing our customers or maintaining our customer touch points, which remains central to the company’s strategy of protecting its customer relationships and continuing to gain market share. Cost reductions occurred across several categories of spend, driven in some cases by reducing redundant head count and by lower volume driven costs such as sales commissions, sales promotions, and model home installations. Favorable timing also aided sales and marketing costs during the quarter. Our expectation is the first quarter sales expense ratio to net sales is at the low end of the range of where these costs will run over the next several quarters. General administrative expense was 4.7% of sales in the first quarter of fiscal 2009, compared with 4.0% of sales in the first quarter of the prior year. The increased percentage over the prior year reflected the impact of the current year sales decline as well as the absence of a credit and bad debt expense that occurred in the prior years first quarter. We had no significant changes in customer payment status or customer insolvencies during the first quarter and our bad debt expense was less than a $0.1 million, compared with a credit in the prior years first quarter of $0.5 million. Regarding our capital spending, the company’s capital expenditures and promotional displays deployed in the first quarter were $3.2 million, roughly in line with the company’s capital spending levels for fiscal year 2008 and primarily represented maintenance CapEx items. Investments in retail promotional displays were $0.5 million or 24% less than in the first quarter of the prior year driven by a reduced remerchandising requirement from our customers. The company expects to continue to fund its capital spending from a combination of operating cash flow and existing cash on hand. Regarding the balance sheet, the company’s financial position remains outstanding. Long-term debt to capital on a book value basis was 10.8% as of July 31, 2008, in line with one year ago. Cash provided by operating activities in the first quarter of fiscal year 2009 was$10.6 million, generating free-cash flow of $7.4 million as compared with free cash flow of $5.8 million in the first quarter of the prior fiscal year. The company used $3.4 million to repurchase its shares during the first quarter, encompassing 116,000 shares. The company ended the quarter with $60 million of cash on hand, an increase of $3 million over its prior year levels. The company has approximately $93 million remaining on its stock repurchase authorization. In closing, we continue to focus on improving the quality and breadth of the company’s products and services and continue to invest to drive market share gains and future growth during this industry down turn. We continue to manage the business with the objective of creating long-term value for our shareholders. We are maintaining our touch points in our customer facing jobs and despite some field head count reductions, we are maintaining adequate manufacturing and field installation capacity to ensure adherence to our stated service levels. Customers continue to validate our strategy as we continue to gain not only additional market share, but also awards and acknowledgements from our customers for delivering superior service and responsiveness to their needs. Although our gross margin in the first quarter continued to be well below the level at which we know our business is capable of operating, we have been taking appropriate actions to reduce our costs and improve efficiencies while continuing to invest in technology, systems, and enhance processes to better service our customers. As a result of these actions, we have reduced our break-even level by approximately 30% over the last two years, which has enabled us to operate profitably and continue to generate positive cash flow at these lower sales volumes. As we look forward to the remainder of our fiscal year 2009, we continue to see a long-term housing environment that is underpinned by sound macro economic and demographic fundamentals, but remains over shadowed by the combined impacts of inventory overhang, falling home prices, and the continuing credit crunch. We believe these factors and their associated media coverage, has contributed to a reduced ability and desire for buyers to obtain mortgage financing. Accordingly, we expect the outlook for the housing economy will remain uncertain until the credit crunch is resolved and housing prices stabilized. From a marketing perspective for the remainder of our fiscal year, we expect our remodeling customers will continue to experience weakness as compared with prior year comps, existing home sales will approximate present levels at a bit less than five million homes per year, down mid to high single digits below the 5.2 million existing homes sold during our most recent fiscal year. We expect total housing starts will approximate one million during our fiscal year that ends April 30, 2009, down approximately 17% below the 1.2 million starts that occurred during our fiscal year that ended April 30, 2008. During the quarter we continued to win greater share of business from some of our existing national homebuilder customers that have solid credit worthiness. In addition, we continued to gain market share at the national home centers. The cost of our strong competitive position and focus on continuing to enhance and differentiate our value from that of competition, we believe that the market share gains our company has achieved will continue for the foreseeable future. Our partnerships with the big box retailers position our company to capture a growing share of remodeling activity. Our market position as the provider of superior products and services at competitive price points is extremely competitive in a more challenging retail sales environment. Most of our new constructions customers expect to continue to gain market share. Our partnerships with these national and regional builders position us well to maintain and grow our market share.
Operator: (Operator Instructions) Your first question comes from Peter Lisnic with Robert W. Baird & Co., Inc.
Peter Lisnic - Robert W. Baird & Co., Inc.: Jon, I guess I was most intrigued by your comment on lowering the break even level, something on the order of 30% over the past couple of years and when and if things get better, I guess the question would be what does that mean in terms of how much do you get to keep when things turn around. How do we sort of think about that. How much of this is a temporary cut just to respond to market demand and how much of it is structural?
Jonathan Wolk: Well Pete, I think you’ve got elements of both. Structural stuff that we’ve done and some of it might be timing or temporary because certainly we will have to scale up some when the market returns back to where it had been. But, we believe that we have been significantly investing, as we have been telling you on these calls for the last couple of years and this quality initiative that our whole company has undergone and continues to undergo. In addition we are investing in Lee Manufacturing as well. So we believe that we have improved our contribution ratio and that has helped us reduce our break even point as well as taking out some fixed costs that we just didn’t need in the business given how we are operating and how we see the future.
Peter Lisnic - Robert W. Baird & Co., Inc.: Okay can you maybe give us a ballpark as to where the new contribution margin, where you plan on that shaking out or looking like as the market turns positive?
Jonathan Wolk: Well for competitive reasons Pete we don’t get into that level of detail on these calls because we are the only pure play cabinet company in the publicly traded company’s, so we do refrain from providing that kind of color, but we do feel certainly that it won’t need the type of sales level that we experienced in the past to achieve record profits in the future.
Peter Lisnic - Robert W. Baird & Co., Inc.: Okay I totally understand that and appreciate that. Just one more question on that front. If you look at the levers that you have pulled to generate that decline in break even, how much of it do you think is head count or can you maybe give us a sense as to what your head count number is relative to a year or two years ago right now?
Jonathan Wolk: We have reduced head count levels, I would say, by about 30% over the last three years, total company wide. That’s an indication right there.
Peter Lisnic - Robert W. Baird & Co., Inc.: It sounded like the new homes out of the business was in line with expectations. I am not sure if I heard that remodel was on the same lines. Was it worse, or better, or kind of what is the color commentary there?
Jonathan Wolk: It would depend, I suppose, on what you thought expectations were. I think what we’ve seen on the new construction side is, I think we have seen kind of a new step function that we have talked about. We were pretty flat on the new construction side for most of calendar ’07 and at the end of calendar ’07 it took another step down. We probably now have about five or six months of new construction activity, albeit at much lower levels, but it’s really been kind of flat and stabilized and we have actually seen our order rates pick up slightly because we have gained some share of both paper penetration to existing customers and picking up some new customers, so the new construction is obviously still very low in terms of the overall activity, but we think it has stabilized again, particularly if you get out of the west coast, California, Las Vegas and Phoenix or markets that are still struggling, but elsewhere we pretty much kind of seen the market activity stabilize again. We have seen, as we have gone through calendar 2008 a kind of continual slide on the remodel side. We are seeing lower activity on existing home sales; we are seeing a significant increase in the inventory of existing homes on the market for sale. You can combine those two and we are really seeing the months inventory of existing home sales move out significantly; there are all sorts of reasons for that, uncertainty the economic, consumer confidence, ability to gain access to credit, all those types of things and it is almost, if you draw parallels to previous cycles we have gone through, it is kind of like going through the snake if you will and the new construction site is starting to stabilize. Unsold inventory units peaked at almost 600,000 a year and a half ago, they are down, and they are now approaching 400,000. So the new construction market appears to be coming back into balance and now it has moved into the existing home market and it will move through that and eventually that supply and demand thing will stabilize and then we will probably be back on the up tick. So we are seeing that, we are seeing that now as it moves through the process in the cycle, we are now starting to see it hit the remodel side and I think you can see that in the major big box retailers comps if you track those over the last couple of years you are starting to see the slow down now run through the remodel side.
Peter Lisnic - Robert W. Baird & Co., Inc.: Okay, is it reasonable to think about that as being a market that could be down kind of in line with the comp that you have put up in this quarter?
Kent Guichard: Well I mean we are getting into where we have backed away from doing forward-looking. I mean I think what you will continue to see, I mean you pick the time period, but I think we are in a time period now where you are going to continue to see the remodel side. That side, that demand is going to be pretty weak and we are going to struggle through that. How long we are going to struggle through that until that stabilizes, I don’t know. If I were you, what we do is the two big things we watch are the existing home inventory that is out there and obviously the turn over rate. That thing needs to get down; it is probably 11- 12 months depending on how you want to look at it and where you want to look at it. Some markets are obviously longer than that, some shorter. A healthy market is that that gets down towards six months of the existing inventory versus the turn over rate that you are getting somewhere certainly under six months, but six months is probably a reasonable number as long as that number is over that I think we are going to continue to see some weakness on the remodel side.
Operator: Your next question comes from Eric Bosshard with Cleveland Research.
Eric Bosshard - Cleveland Research Company :
Kent Guichard: I think it kind of what we just talked about and that is that yes it is softer. I think that it is starting to roll through, as I said, through the cycle now, so you are seeing on the existing home side plus there are some other over arching issues as well, but yes it is softer than it was a year ago. There is some timing associated with the summer and promotions and those types of things that can move numbers around a little bit, but from a general trend standpoint, the remodel market is weaker than it was last year as the cycle kind of rolls through and I would again expect that that would, you know, continue for some period of time. How long, who knows. It just, again, just like it did on the new construction side it is just how long it takes to deplete that inventory that is out there. The inventory that you see published is probably understated. There are probably people that want to sell their houses that are holding off putting a for sale sign in front based on the market, so I think that even when it picks up you will see some more inventory come in. It will be a little stubborn for a while, but again those are the two metrics that I would watch and when those things start to flatten out I think it is a signal that the remodel market is stabilizing. 
Eric Bosshard - Cleveland Research Company : But there is, I guess what I am trying to understand is the rate of change. I think the remodel business was down 4 or 5% in the prior quarter and it is down 16% this quarter. What I am trying to figure out is why. Was there something that changed or did the remodel market just contract 10 or 12 points faster this quarter than it did in the prior quarter?
Kent Guichard: It is the later. I mean the remodel market, is just, it took a step down. The trigger to do particularly a big ticket remodel like ours, the kitchen, is either right before the sale because you can’t move your house because it’s got an outdated kitchen in it or one that isn’t up to snuff, or right after you move in and it’s one of your first big investments, so it is that resale of the home which is the big trigger for ours and you are just seeing that activity down, you are not seeing as many houses being sold and you are seeing the inventory build up.
Eric Bosshard - Cleveland Research Company : In as much as you can see the customer data to make the comments you have made about market share, you think that the market has changed as well, in other words the step down from the prior quarter to the current quarter on the remodel growth rate is not reflective of you performing worse relative to the market. I mean your customers performed 10 or 12 points worse this quarter on a year-over-year basis.
Kent Guichard: Yes we think that, even during this period, we believe that we have gained share. We think the overall market on that side was actually worse than our performance and there are two ways we would describe that to them. One of them is I do think that we have some wind at our back. We are the value player, we do have that price point, and we do believe that there is some rotation down on price points that even the consumers that are active are rotating down price points and so we think we have just naturally taken the benefit from that based on where we are in the price spectrum. We do also believe, as John mentioned, that our improvements on the service and quality side and our commitment to maintaining contact with the customer whether it be through our customer service center or through our service reps in the stores that that has also gained us some share.
Eric Bosshard - Cleveland Research Company : My second question is, in terms of the capacity utilization of the business, where would you imagine that that is presently?
Kent Guichard: From a real capacity standpoint in terms of things like accruing and that kind of stuff, as John mentioned, during the summer it is a little bit weaker, but that’s okay we have people on vacations. We think that we are crude, if you will, to pretty much in balance. Our effective production output and our accruing is pretty much in balance with what is incoming. If you are looking at how much growth potential we have or how much additional capacity we can bring back into the system during the upside of the cycle without having to do significant brick and mortar, we can probably get close to, depending on the mix that comes in and the channel and the product mix, we can probably double our output based on our fixed footprint. In other words we wouldn’t have to build a new factory until we probably about double what we are doing now.
Eric Bosshard - Cleveland Research Company : My last question related to that is, is there a consideration recognizing that it will be awhile until you fill up the fixed capacity that you have that there is a piece of fixed capacity it would make sense to permanently take off line?
Kent Guichard: Well we have talked about it before. I mean we are constantly evaluating our asset base and certainly as we continue to press through with our lien program that changes some of the math on where that stuff is. As we look at it today, if you look at both the combination of bringing down capacity and then bringing it back up on what we would think would be a reasonable time frame with the recovery as you get to the other side of the cycle and the other costs associated with the capacity. One of the things that have really changed the math, in the last year, is transportation costs. A year ago our modeling might have told us, for example that it might make sense to at least moth ball a particular facility. All of the costs associated with hauling product, particularly finished product, which as you know for us is a lot of air once the cabinet is put together, is that it was almost $5.00 a gallon and the diesel and the surcharges and those types of things, that it really does change the break even point between the fixed costs associated with operating a facility an the variable cost of covering that territory and meeting the needs of he customer from a factory that is farther away. We continue to examine that and at this point when you add all that up the conclusion we have come to is that now is not the appropriate time to either moth ball or permanently shutter one of our locations.
Eric Bosshard - Cleveland Research Company : Can you quantify the, what appeared to be a little bit of SG&A benefit, I guess, you stated in the quarter of money that wasn’t spent this quarter but will show up next quarter. Can you give us any sense of the magnitude of that?
Jonathan Wolk: Yes I think that there was some benefit from timing on a few things and we ran at about 11.2% on some of the marketing costs as a percentage of sales. I think there is probably a range of about 11.2 to 12.2 that we will run in over the next year and we were at the lower end of the range this time around.
Kent Guichard: One of the things I would really like to emphasize that, because I know there may be some questions out there and John mentioned it in his thing, we have not done anything in terms of our cost management on that side to pull back from the customer or pull back from the market. We are not doing anything that would jeopardize our service of either our customer or the end consumer or would put us in a position of where we can’t participate in the recovery from day one. We are not doing any of those types of things. We are continuing our strategy to support the customer.
Operator: Your next question comes from Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James :
Kent Guichard: I think that when you are this close to break even, a couple things that I would give you is you usually don’t have a lot of ability to absorb any kind of shock, so if there is anything that comes through the system during the quarter you just don’t have the ability to recover from that, so all things being equal, subject to my second comment, which I will make in a minute, yes we think that we can continue to run break even around here as long as you don’t get some shock to the system that is unanticipated. You get a bankruptcy, you get a carrier that goes out of business and you have to completely replace those lanes, those types of things, if they hit you in the quarter you just don’t have the ability to absorb them. The other thing that I would say as we go forward here, is there is a significant amount of material cost pressure. Hardwood lumber is relatively stable, but there are some major inputs to the industry: one of course is the price of fuel and that is not just what shows up in fuel surcharges on the trucking side, but anything that is petroleum based, finishing materials, anything that is petroleum based there is a significant amount of pressure on anything that that is there. If you watch the steel markets, steel has gone up significantly. I have seen numbers as high as 30% depending on the grade of steel, you know the well actually less than a year. There is some pressure on particle board, there is some pressure on liner board, there is some pressure on plywood to the extent that those increases come through the system and are truly reflective of long-term structural changes in the cost of materials. As we go through the next several quarters that could have an impact and could once again kind of hit that break even point where at that kind of volume if we don’t break even we lose a little bit of money. Over time, for those that have followed the industry have experienced when their raw material increases that are legitimate and that are reflective of a new price of those base materials, the industry has been able to eventually pass those through to the consumer and the consumer understands that, the consumer understands that the price of commodities goes up over time an they accept that that’s reflected in the price that they pay for the end product. There have been, however, some delays in the past between when that we incur those increases and when we are able to pass them onto the consumer, so I think that that is one of the big challenges that we face as we go through the next 6 to 12 months is what are those increases, how much are they and to the extent that they are really reflective of a new base cost through out the world and the system for those materials is how long does it take us to get through and recover those from the customer.
Sam Darkatsh - Raymond James : Have there been selling price increases or any selling price increases anticipated near term?
Kent Guichard: Well I mean we price the market as you know and so we don’t you know particularly talk a lot about our pricing, we price the market and we have seen things all over the map. We have seen some areas where prices have increased. We have some areas where prices haven’t and also by channels of distribution. Some competitors are doing it some places and other places. I wouldn’t characterize it at this point that we have seen across the board general upward movement in pricing, but I would also tell you that many of the price increases that I have talked about are relatively recent and would not necessarily have shown up in peoples cost structures yet. So I think the next six months is going to be a real telling period in terms of what are the increases that are actually passed onto the manufacturers from the providers of the raw materials and how that ends up showing up in the marketplace.
Sam Darkatsh - Raymond James : Your largest competitor has been publicly talking about a cabinet strategy in which they go more towards an integrated box on a manufacturing process which would be instead of having each of the separate manufacturing processes done on a separate plant basis to amalgamate or aggregate each of the processes under one roof which would allow someone to take capacity out without having to increase a lot of the ancillary costs. Have you guys looked into that? What is your internal capacity to do that sort of strategy and what are the positives and negatives of undertaking that sort of strategy for Woodmark?
Kent Guichard: There is a whole lot there. I am not sure. I mean all the major manufacturers there are a lot of commonalities in terms of both the product that we make and the way we make that product. There is not, in many cases, a lot of proprietary technology in how you a box together. We all have the basic components and the same components in the box. There are some minor differences in terms of the construction. We have, over time, made different decisions about vertical integration. We have made different decisions about how we source and move product. We constantly look at that, of course that is part of the lien program is where you make the stuff and those types of things. Our factories are pretty flexible in terms of the actual things that we can do in each factory. So some factories you combine raw material processing with component processing. Some you combine finishing with component processing. Some you combine assembly with various other aspects to it, so we don’t have, as we did many years ago, we don’t have dedicated facilities that do just one part of the process. Depending on the end product and what’s coming out we do multiple processes at different places so while we haven’t been as public about talking about that, we just think that that is just kind of our approach is that’s just kind of manufacturing. That’s just what happens in manufacturing, it’s what happens in continuous improvement, it’s what happens under kind of a lean approach to manufacturing is you’re just constantly looking at the right place to do things as your product mix and customer mix changes. One of the things, the benefits I would show you to show that we are doing that on a consistent basis is to look at our inventory trends. One of the places that that kind of thing really shows up in terms of whether you are effectively improving the overall efficiencies of your material flow is in your supply chain to the customer is, is it taking you more or less inventory to deliver a consistent product and experience to the end consumer. I think that you will see not only have we managed our working capital inventory very well over the years, but in fact you are starting to see again additional improvements in our ability to deliver the end experience to the consumer with fewer inventories in the system.
Sam Darkatsh - Raymond James : You have talked in the past about there being an 18 to 24 month pay back on closing facilities or moth balling them or restructuring in some form or fashion. Is that a cash on cash pay back or is that including non-cash items like write downs or how should we look at that because it is just, I guess from a lay persons perspective, we don’t have the amount of information and reams of data that you folks have, but I get it. It seems, at least to this analyst that perhaps more capacity should be coming off line and if we were to understand exactly what constraints you folks have in terms of, or at least numbers that you look at that have you being a little more reticent to that extent, that might be helpful, thank you.
Kent Guichard: Again there is a lot there, but I guess it really depends on how you view the world. Now if we viewed the world as the level we are producing at today is steady state and it is what we are going to be producing five or ten years down the road, we would be running exactly those calculations and refining them to the nth degree and really assessing, running the math, just as you say, cash on cash or fully accrued or what have you. But, I will be honest with you, we don’t spend a lot of time working that math because we don’t see the world that way. We see the world as this space, this housing market and this cabinet space in particular in this country as being fundamentally still a growth market. Viewing the world that way and viewing the long-term demographic trends and all the things that we talked about, I highlighted earlier in my discussion, and we have talked on prior calls. There are many reasons why a lot of people agree with us that this is a growth market long-term. So viewing it that way, we are not really making decisions based on how do we make the P&L look just a little bit better over the next 24 months. We are looking at this as over the next five to ten years how do we set this platform correctly so that we can participate and help lead the industry growth and really fully reward our shareholders by what we are doing. So, I guess perhaps that is not the answer you are looking for, but that is how we are looking at it.
Sam Darkatsh - Raymond James : And the 18 to 24 months is cash on cash when you did talk about that last quarter or is that, how, does that include asset right downs if you were to close a plant down or moth ball some operations?
Jonathan Wolk: I think that is sort of cash on cash sort of view.
Operator: Your next question comes from Joel Havard with Hilliard Lyons.
Joel Havard - Hilliard Lyons : First of all Kent I am glad to hear that Glen’s slip did not mean that you had had enough and were removing yourself from the fray. You said in one of your earlier answers, Kent that you didn’t want to talk about the things that would perhaps jeopardize service to customers, but let’s theoretically jeopardize some service. Is there anything here on a labor or plant scheduling basis that you guys might have the flexibility to say run every other Friday off or roll from one assembly or wet plant to another in some way or are you already doing something like that?
Kent Guichard: Yes Joe, I mean we it is a trade off, it is a balance obviously between maintaining some base level of efficiency in the plant and those types of things with servicing the customer and certainly when you get into periods that we’ve been in for example with seasonality in the summer, is you do have the ability to flex up and down in terms of hours and you can take partial days, you can take down days for the system, you can do those types of things. What you can’t do or you can, but we have chosen not to do is to extend those periods to the point where we flip over and the benefit to us from efficiency comes at the expense of the customer. Our customers will work with us, you can do things, you can produce a day ahead, you can do some other things in shipping, you can work with your customers, but on a new construction customer, for example, that is building a house on say a 100-day schedule, we are not going to tell them that there is a week or two weeks that they can’t get product because you are just not going to produce in their area. We are going to produce product and we are going to meet their production requirements and their schedule requirements, we may do some things with them to work around that, but to the extent that yes we are chasing out some hours and we are working half days or you might take a day out of the system if you don’t have the back log to produce effectively. But at the end of the day we will only do those to the extent that it does not negatively impact the customer.
Joel Havard - Hilliard Lyons : Along a similar, theoretical line, it is getting tougher and tougher I would think to sort of predict the step function of raw materials inflation. Is there a conversation underway or could there be one get underway with your channels about sort of separating those fuel side of it from their costs? In other words we got a little relief here recently, there would be a way to pass those “savings” back down stream where if we get another run up you guys will have a shorter lead time on the ability to pass those through and I guess we are only talking the outbound side to your business, maybe you are just kind of living with whatever happens on the inbound, but I would appreciate any thoughts you could share on that line.
Kent Guichard: Are you talking about something like putting in a fuel surcharge system, is that what you’re talking about?
Joel Havard - Hilliard Lyons : Well I guess you know, where are you now and how much room would there be to work with clients? Certainly both of your end channels have to understand what’s going on. They are dealing with it too. Maybe this is sort of a broader rethink of how company’s in general deal with erratic fuel prices like this.
Kent Guichard: Well I mean the pricing structure of the industry is not really set up for indexing or surcharges on any particular commodity whether it is hard wood lumber or fuel or anything else. That is not really the pricing structure of the industry. That is not how our customers —
Joel Havard - Hilliard Lyons : No I understand that that is the status quo, I guess I am asking is there anything in the way that could push the boundaries of the status quo?
Kent Guichard: No I mean what you are suggesting is that we kind of restructure the entire way that the industry is going to market and —
Joel Havard - Hilliard Lyons : I have a lot of faith in you Kent.
Kent Guichard: Yes this is why; I think you started with you live in a theoretical world. I live in a [laughing]. And in the practical world you are not going to change the history or the pricing structure of the industry, so without carving out anyone in particular, now it happens to be fuel, in the past it’s been lumbar, it’s been those types of things. As you get to some level that is really the base level of the commodity price and that rolls through the pricing structure that we have. I mean carving out one particular component and creating a surcharge or an add on pricing structure is just from a realist standpoint is not something that anybody is going to be able to drive through the industry.
Joel Havard - Hilliard Lyons : So you are still kind of getting that once a year chance or so to sort of reset pricing on the retail side and then the sort of contract to contractor project to project on the new build side, is that?
Kent Guichard: Well no it is not a once a year or twice a year or once every other year. I mean it is a question of when commodities actually change their economic value in the marketplace and when the cumulative impact of that net impact of all the commodities gets to a point where the industry decides that it is time to pass that through to the consumer. That can happen more than once a year, it can not happen at all in a year.
Joel Havard - Hilliard Lyons : I want to make sure I understand that part and I will jump off at that point, but my understanding was that the “catalogue” that the designers working from at the retail store got repriced on a more or less annual basis, so has there been the ability to make sort of the intra year adjustments to that?
Kent Guichard: Well I don’t know where you came with that understanding. Hopefully we didn’t give you that over the years. I mean the mechanism on the remodel side, the retail and remodel side, not so much the new construction, but the retail and remodel side is that they have a cad cam system that they use to both design and price product and you have to update that disc and translate it over to them and then they have to drop it down into their system. That can happen any time. Both parties come to mutual agreement that you are going to drop a disc whether it’s pricing action, whether it’s the addition of product, whether it’s the obsolescence of product, whatever it is that can pretty much happen. Now the big box retailers have a tendency to shy away from doing that during peak selling seasons because they don’t want to upset the apple cart in peak selling seasons and potently have a problem with the download or just consume their resources in that kind of administrative exercise when they got customers coming in at the pretty hot and heavy. They have had a tendency to only want to drop those discs for whatever reason in off peak, off-season periods, but as long as you both agree, you can drop that any time you want.
Operator: Your next question comes from Keith Johnson - Morgan, Keegan & Company, Inc.
Keith Johnson - Morgan, Keegan & Company, Inc. :
Kent Guichard: On the new construction side it was pretty flat through the whole quarter. The activity did not really go up or down a little bit, it was pretty kind of steady state. On the remodel side it went down through the quarter. Part of that I think is what we talked about previously in terms of the overall marketplace and part of that is standard seasonality. I mean you generally see the spring season usually peaks about mid-May and then from mid-May through to really Labor Day, mid-September you will kind of get a decline, there is just not a lot of people that remodel kitchens I August: it is hot, they are on vacation, just not interested and so as you go through the quarter we saw a decrease in remodel. Part of that was the normal seasonality we would expect. The slope of the curve was steeper because we think that the overall market was down more during that period as well.
Keith Johnson - Morgan, Keegan & Company, Inc. : We are about to get over into the October quarter so you will start to see a little bit of a pick up kind of late September?
Kent Guichard: From an in bound order rate the big box retailers have a tendency to really kick off their fall selling season with the Labor Day weekend and so if you look back historically, we will see what comes in the next couple of weeks, but historically they have gone out with kind of a big push around Labor Day with some promotions and other ways to get people in the store. That will continue through September into October and then it usually lasts to almost up to Thanksgiving and then it starts to die down again. The selling season really kicks in about mid-September, but they try to kick-start it around Labor Day.
Keith Johnson - Morgan, Keegan & Company, Inc. : If you look at the quarter just completed, what were the promotional incentives like, or the intensity of the promotional trying to get people in the stores? Are you seeing that increase quarter to quarter as you started coming through the last several time periods?
Kent Guichard: You would have come out of April and May with some strong promotions because that is in the height of their season. They would have had promotional activity in June and July, but it would be relatively light pretty much standard fare. It wouldn’t be a big push. If you go back and look at what they ran, they would have promotional in there but they wouldn’t do a lot of stack promotions. They would run one promotions at a time as opposed to stack promotions and they would have been pretty much standard fare for the industry.
Keith Johnson - Morgan, Keegan & Company, Inc. : On a year-over-year basis?
Kent Guichard: Yes the one thing is you get if one-year changes from one to the next, I mean they may run a big one that literally goes over the week, we go on calendar dates. Retailers have a tendency to do 4-4-5 and so you could occasionally get a quarter-over-quarter where they’re quarter and our quarter doesn’t line up right and they drive a promotion at the end of the quarter and it’s in their fifth week and it’s outside of our cut off so you can get some of that, but that’s unusual. On a quarter-over-quarter basis I would say net, net their promotional activity was pretty consistent.
Keith Johnson - Morgan, Keegan & Company, Inc. : You have talked about the increase to inflationary pressures at some of the raw materials and fuel. Is there a way you could put some more color around that, maybe quantify the dollar impact on either a year-over-year or a sequential basis on how it affected you in the first quarter this year?
Kent Guichard: It depends on the base period that you want to use. The first quarter impact , the real significant increase over a year or two years ago on the first quarter was obviously petroleum based and it was really directed at the fuel costs in particular, diesel fuel in particular. What is now starting to rumble through the system is the secondary wave of what everything petroleum goes into. There is some additional impacts for anything that comes in from overseas: for example the weakness of the dollar and some other things are net effectively increasing that price and those types of things. What I would say in the first quarter, the primary thing that we absorbed, whether you want to use one or two years ago as a baseline has been direct fuel costs. My comment was as we go through the next six months we are starting to see that activity pick up in terms of requests for price increases on raw materials and like I said, the three to six months will tell to see how much of that is actually sustainable and will stick in the marketplace. My guess is that a significant portion of it will be. A, we don’t have that quantified at this point and B when we do we wouldn’t release that in that level of detail. But it would be big enough where you would see it in the results.
Operator: Your last question comes from Robert Kelly with Sedodi
Robert Kelly – Sedodi: I think Jon, you said in your prepared remarks earlier, the 40 basis points, the sequential slide in the gross margin, was that wholly attributable to the rise in raw materials and fuel and freight?
Jonathan Wolk: No I said it was two things, it was that and also the sales volume going down a bit.
Robert Kelly – Sedodi: One in priority higher than the other?
Jonathan Wolk: Roughly comparable.
Glen Eanes: Again I would like to thank you for taking the time to participate in this call. Speaking on behalf of the management of American Woodmark, we appreciate your continuing support. This concludes our conference call. Thank you and have a good day.